Executives: Lee Hamre - Chief Executive Officer Susan Anderson - Chief Operating Officer Hope Stone - Chief Financial Officer Marty Tullio - Board Secretary
Operator: Greetings, and welcome to the AmeraMex Third Quarter 2018 Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation [Operator Instructions]. As a reminder this conference is being recorded. It is now my pleasure to introduce your host, Marty Tullio. Please go ahead.
Marty Tullio: Good morning, everyone. Before we begin today's call, it's important that everyone to understand that the statements made in this conference call that relate to future financial results, market size, or growth plans or forward-looking and involve certain risks and uncertainties associated with demand for the Company's products and services and development of markets for the Company's products and services. Actual results, events and performance may differ materially. Conference call participants are cautioned not to place undue reliance on these forward-looking statements, which speak only as the date of this conference call. AmeraMex is not obligated to release publicly any revisions to these forward-looking statements as a result of unanticipated events after the date of today's call. Now, I would like to turn the call over to AmeraMex's CEO, Lee Hamre. Good morning, Lee.
Lee Hamre: Good morning, Marty. Before I start explaining everything, I'm ready to explain it is to let you know we are still having a conference call, even though I haven’t been home for a day and half, because of the fire up here. Paradise has burned down in the city is gone and my house is on its way up to paradise, we can't get home to -- I don’t even know if my house is still there. But I'm still here having conference call for you. So anyway, thanks everybody for joining us this morning for our third quarter conference call. With me today are Hope Stone, our CFO; Susan Anderson, our COO; Mike Maloney, Board Member; and Marty Tullio, you just heard from our Board Secretary. I'm happy to report that we have completed our two year audit requirement now. Everybody has been waiting a long time for that, including us, but the audits are done. To your audits for a fully reporting company were a lot more difficult than we expected, but they're done and they are submitted to our lawyer to start working on the Form 10 that we need to do. So the audit has been provided to our outside attorneys just last week for the next step. Completion of the Form 10 registration statement and its submittal to the SEC for approval is our next big step. All of us would like to thank you our shareholders for your ongoing support throughout the process. We have invested a lot of time and money to complete the 2014, 2015, 2016 and 2017 audits. But know that being a fully reporting company provides the ability to apply our uplifting to the OTC QB market and additional visibility, both of which will be a significant benefit to you, our shareholders and to us, AmeraMex. I would like to turn the call over to our CFO, Hope Stone, so that she can provide an overview of our financial statements for the third quarter and nine-month period that ended September 30th. Hope?
Hope Stone: Thanks Lee. Good morning everyone. Before I begin, I want to remind everyone that financials for the comparable 2017 year matching subject to adjustment made during the audit. Revenue, we are pleased to report that revenue in the third quarter increased 96% when compared to the third quarter of 2017. Congratulations to our sales and marketing team. Gross profit for the third quarter was $1.9 million compared to $743,162 for the 2017 quarter. Gross profit as a percentage of sales was 54% compared to 40% for the 2017 quarter. This was a 35% increase. The Company's gross profit fluctuates on an equipment mix whether it's leased or sold, new or refurbished. Net income for the third quarter rose 85% to $987,108 when compared to net income of $534,786 for the 2017 quarter. For the nine month period, revenue was approximately $8.4 million, a 66% increase when compared to revenue of $5.1 million reported for the comparable nine month period. Gross profit for nine month period was $4.1 million compared to $2.2 million for the 2017 nine month period. Gross profit as a percentage of sales was 49% compared to 44% for the 2017 period. This is an 11% increase. Net income for the nine months was approximately $1.5 million compared to a net income of $770,012 for the 2017 nine months period. I would now like to turn the call back to Lee.
Lee Hamre: Thank you, Hope. As discussed recently, our Menzi Muck relationship got off to a slow start, but things have started to turnaround. The machines are extremely expensive and it's difficult to justify having new Menzi Muck in inventory, and paying interest until we know exactly how the factory is going to react for us with warranties and to back us up as a dealer. So, we still have not bought new inventory. Although, we have sold some new machines and getting through the warranty system is more difficult than we expected. So we are working on it. Things are getting better. And I anticipate we will be able to do a lot more in the future. We are the Northern California dealer now for ASV track floaters. We have a very good relationship with ASV. We have machines in inventory that we have purchased new. We have been selling the machines from inventory. The primary machine that we have been selling is built with a grinder or a mulcher on the front of the machine, and it goes into the forest and grinds down underbrush, which cuts back on fire hazard. And as I mentioned earlier in the call, the City of Paradise has gone. While if people would've been grinding all their underbrush, it probably wouldn't have had this series of a fire. And we are getting a lot of calls from people. The local power company Pacific Gas & Electric, is putting contracts out to people to do underbrush mulching. And our machine is the perfect machine for that and the people that they are in the contracts are calling about machines, so that's a good sign. In June, we participated in an off-site equipment demonstration of mastication equipment to the gas and electric company, the Cal Fire and to the U.S. Forest Service. We demonstrated the capabilities of our Menzi Muck walking excavators and ASV track floaters. Participants in the demonstration were interested in the equipment's ability to remove and grind forest undergrowth in moderate to difficult terrain. But we've added a measure against forest fires, because of the demonstrations we received eight requests for pricing from companies that were looking at getting these contracts with the prior company and Cal Fire, and all of them for removing undergrowth and the federally controlled forests and parks. We have just received our second order just leased at least for a new ASV machine and the series for grinding underbrush. We are working on other models too, but the one that’s doing the best for us is the bigger 120 horsepower mulching machine. They are amazing machines and clearing underbrush is exactly what they're built for, and they do the best job of any machine on the market. We expect to receive additional orders for ASPs and Menzi Muck's as budgets by these organizations get approved. To see the ASV in action visit our Web sites, ammx.net and hamreequipment.com. In reviewing our shareholder lists, additions to our news release, database and email questions, we are expanding our group of active shareholders. I thought it would be good to provide a brief overview of who we are and what we do for these new shareholders. AmeraMex markets and sells both new and used equipment to several industries. For the last few years, we have targeted logistics companies, operating in both wet and dry ports, as well as distribution centers. There has been a tremendous growth in the import and export of goods within the U.S., the ability to quickly, efficiently load, unload transfer and store containers saves logistics companies a lot of money. Although, we are still selling construction equipment, our primary source of revenue comes from the sale of large container handling equipment. This is a very specialized field and we've got a good mix of equipment and have built strong relationships throughout the industry. We've purchased used container handlers or take them in on trade against the new ones we sell. Luckily, we have a large yard and the facility has enough space to store everything we have got here and more is coming in. We've then reconditioned paint, replaced tires, motors, transmissions, if necessary. We will then sell the machines to mostly international customers. We do a lot of our selling interest Central and South America. In addition to sales, the demand for rental equipment is at an all-time high. Over the last three years, we have increased our rental fleet from $2 million to approximately $9 million in value. A couple of years ago, I predicted in one of these conference calls that we would target our value of our rental fleet to get up to $10 million by the end of 2018. We are coming up on the end of 2018 and we are right at $9 million in total value in the rental fleet. We may or may not make that last million before the end of the year, but certainly by spring, we will be there. The machines I'm talking about are all out on long-term rentals and we provide the maintenance and the rent to purchase program for rental customers. This works very well for everybody concerned. We also find good financing programs for customers in Central America, as well as other countries, which helps generate additional business. Currently, we have a large number of machines in the yard in the process of being reconditioned, and are always looking for more high quality used machines. In the last 12 months, we've added about five new people to the staff, including long-haul truck drivers, mechanics, our new CFO. We do run our own heavy haul trucks transporting the equipment that we sell, both bringing it in and delivering it out. And we do cover all, while 48 states. We have the freight right to the final delivery if it's in the U.S. and we take it right to the port to be loaded out on a ship if it's an export. I can share with you that the last 12 months have been pretty amazing. Actually, probably 16 months have been amazing as the orders are coming in faster than I've seen in my 40 years in the business. While we have on occasion reported more sales, the sales haven't been as profitable for us as in the last 12 to 16 months. This is exciting to us as it provides working capital, which we can expand our business and trading on the OTC QB, that should increase our visibility and share price, which can also provide future capital to grow. With all that said, we would like to begin the Q&A session for today's call. Operator, would you like to begin Q&A please?
Operator: We'll now be conducting a question-and-answer session [Operator Instructions]. Our first question is coming from David [Knock], a Private Investor. Your line is now live.
Unidentified Analyst: Lee, Dave [Knock] here. If you did a reverse stock split. How big a split would that be, would that be 10:1, 100:1, 200:1? What would the share price be after that?
Lee Hamre: We aren’t really talking about a reverse split at all right now and we don't really have any plans right now. Although, the only reason that any of us feel that it could be in our future would be if there's a requirement of being at a certain level to go up on the stock exchange to the next level. Other than that, they are so negative to do a reverse split that we're not discussing that.
Operator: [Operator Instructions] If there are no further questions at this time, I would like to turn the floor back over for any further or closing comments.
Lee Hamre: Well, surprised you don’t have more questions. We're ready for you. But we would like to thank all of you for participating in the call and for your question and continued support. We look forward to speaking with you when we report financial results for the year end. Thanks again.
Operator: Thank you. That does conclude today's teleconference. You may disconnect your line at this time and have a wonderful day. We think you for your participation today.